Operator: Good day, ladies and gentlemen, and welcome to the Iridium Communications Fourth Quarter 2017 Earnings Conference Call. [Operator Instructions] I would now like to hand the floor over to Ken Levy, Vice President of Investor Relations. Please go ahead, sir.
Kenneth Levy: Thanks, Karen. Good morning, and welcome to Iridium's fourth quarter 2017 earnings call. Joining me on today's call this morning are our CEO, Matt Desch; and our CFO, Tom Fitzpatrick. Today's call will begin with a discussion of our Q4 results, followed by Q&A. I trust you’ve had an opportunity to review this morning's earnings release, which is available on the Investor Relations section of Iridium's website. Before I turn things over to Matt, I would like to caution all participants that our call today may contain forward-looking statements within the meaning of the – are historical fact and includes statements about our future expectations, plans and prospects. Such forward-looking statements are based upon our current beliefs and expectations and are subject to risks, which could cause actual results to differ from forward-looking statements. Such risks are more fully discussed in our filings with the Securities and Exchange Commission. Our remarks today should be considered in light of such risks. Any forward-looking statements which represent our views only as of today, and while we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our views or expectations change. During the call, we'll also be referring to certain non-GAAP financial measures. These non-GAAP financial measures are not prepared in accordance with Generally Accepted Accounting Principles. Please refer to today's earnings release and the Investor Relations section of our website for a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures. With that, let me turn things over to Matt.
Matt Desch: Thanks, Ken and good morning everyone. While we just completed a really great year both in terms of our subscriber growth and the early success of our Iridium NEXT program. We are half way through the launch program and the new satellite activations continue to go very well. To date, we have launched 40 satellites which represent 61% of the 66 new operational satellites we need for full-service, and will be launching the final 35 satellites over the next few months to complete the constellation. Our next launch has moved around a bit primarily due to the delays in the [Indiscernible] mission that should be launching this morning from Vandenberg. Right now it looks like our next launch will be the morning of Thursday, March 29 essentially five weeks from now, though we are still confirming that date. The 10 satellites for that launch are shipping to Vandenberg now and the first and second throughout the nine stages are already on site and being processed with the base. This launch again will use a flight proven first stage; it will be the tenth flight of a refurbished rocket by SpaceX. And we have history with this particular first stage; it successfully launched our third batch of satellites in October. Following next month’s launch, our teams with a SpaceX should move more rapidly as a launch frequency is planned to increase to approximately one launch every 5 weeks to 6 weeks or so. In fact, our sixth launch is currently scheduled for a quick turnaround at the end of April, that will be a rideshare with the JPL German Grace satellites in which we’ll utilize half of the payload to launch five Iridium NEXT satellites alongside the two Grace satellites which will be mounted on the dispenser above ours. This rideshare has turned out to be a very efficient way to share the cost of the launch with another organization allowing us to place even more satellites into orbit than initially planned; specifically we’ll now be able to have nine in orbit spares rather than the six we had originally budgeted for. SpaceX is planning a busy year and from what we can tell they appear very capable of meeting the schedule to finish our launches this summer. Moving onto our business results, 2017 was another solid year for our company. We exceeded our full-year guidance for operational EBITDA and continue to have positive momentum and business development activities across both our commercial and government segments. Our total subscriber base grew 14% last year fuelled by strong IoT activations and this positive momentum is even before we’ve been able to take full advantage of the capabilities of our new constellations. Our commercial business has recovered for much of the economic and currency headwinds that produce slower growth back in 2016, and we are now operating in an environment that’s supported by new IoT partners and an improving competitive position in the satellite voice market, particularly in handhelds. We feel good about our market position, especially with our strong ecosystem of distribution partners. A weakening dollar has also made our premium products less expensive around the world just when we are nearing completion of our upgraded constellations deliver optimal quality. Also I want to highlight the value and potential of our push-to-talk service, which was important and strong coordination recovery during the recent hurricane season and continue to demonstrate its’ value for organizations involved in disaster relief. A big bright spot for us in 2017 was IoT which continues to benefit from our alignment with large growth oriented partners. I’m really pleased with the success we are having with heavy equipment OEMs. They increasingly rely upon us for dependable real-time connections as they improve the management of their global fleet, assets and vehicles. We also introduced Iridium Edge in 2017. This product is attracting new customers to Iridium and helping them to get to market faster with lower implementation costs. As a result, we are sitting on a healthy pipeline of demand for our IoT services and expect subscriber growth in 2018 to be in line with what we experienced in 2017. Maritime and Aviation our sectors where Iridium is coming into our own and will continue to grow as we deliver faster speeds over Iridium NEXT. While we’ve long been a player in the maritime crew voice and connectivity market, the broadband component of our revenue from the business is still relatively modest at about 23 million per year providing Internet and VSAT companion service on about 8500 ships around the world. Iridium Certus which will be launched commercially in the next few months will give us offerings with dramatically increased capability and throughput. With significant industry growth tied to broadband services, we continue to expect annual revenue from our new Iridium Certus broadband offerings will reach a 100 million in the next few years and that’s across all industry segments, not just maritime. In the second quarter, we’re on track to commercially launch Iridium Certus service which will become the industry’s fastest, most reliable and most cost-effective L-band and Broadband offering. In fact we have completed our system and satellite testing and we are in live operation in the field on several ships. Cobham is testing its new SAILOR 4300 unit, and Thales is testing it’s new vessel and containers on ships in the Northsea and Atlantic ocean and the service is working very well. It’s reliable and achieving the targeted initial rollout data speeds and is demonstrating the outstanding voice quality. This testing on the rough seas and in actual maritime conditions is allowing our partners to tune their products, ensure the highest quality offering and is helping to improve in their installation procedures for resellers. Now while we aren’t counting on significant revenue from Iridium Certus in 2018, we do expect activations to start building momentum through the year particularly in maritime, but also with land mobile applications as the new Thales mission link terminal is introduced. We are also looking forward to aviation terminals being available for testing later in 2018 with commercial service on aircraft starting in 2019. While we are getting a little later start for Iridium Certus than we originally expected, Certus is arguably one of the most anticipated global product launches for many of our existing and new partners in years. Our offering makes Iridium a great standalone service or a perfect complement for KU and K band VSAT services especially for distributors seeking to pair the Iridium Certus service with other technologies for safety and reliability. With maritime terminals available in the second quarter, our vans and channel partners are actively promoting the service globally today. We announced our initial distribution partners for land, mobile and maritime earlier this month, and they are a strong group. We will also be announcing our first aviation distribution partners very soon. Across all industry segments, we’ve aligned with the premier business partners who are excited to roll out this broadband offering. We expect Iridium Certus to set a new benchmark for Global L-band services. Our enduring service to the U.S. government is a great source of pride here at Iridium. Government subscribers grew 19% in 2017 illustrating the continued importance of Iridium voice and data services to the USG and we ended the year with a record 100,000 government subscribers. Our long-standing relationship with the U.S. government has provided significant value for both of us. The government has enjoyed broader and more cost effective use of Iridium’s unique global services. Since our fixed-price contract was initiated in 2013, the average cost per subscriber has fallen by 24% for the government, while its subscriber base has nearly doubled. We continue to engage in constructive dialogue with its value department, but don’t expect to have much to report on the new deal until it’s completed either later this year or in 2019 if they choose to extend the current contract, the additional six months it allows. Iridium continues to make progress in signing new customers and addressing their capital funding needs as they move towards commercial service. They signed seven new MOUs in 2017 and earlier this year, finalized the long-term data services contract with ASECNA, the Airsat’s navigation service provider managing traffic in 17 states in West Africa. We expect the company to announce additional meaningful data service contracts in the coming months. As you know, Aireon is creating a unique and powerful global air-traffic surveillance system that will revolutionize air traffic management. The FAA’s in Europe’s deadline for compliance with their ADS-B equipment mandates are less than two years away and aircraft installations are accelerating. With ANSPs managing the busiest North Atlantic tracks already signed up along with nine other ANSPs around the world, we are seeing the FAA continue its testing of the effectiveness of Aireon satellite-based system. Most recently, the FAA and NAV Canada each completed additional successful flight test on the growing number of new payloads in space. Aireon tells us the performance they are achieving is surpassing expectations particularly with messages they receive from the test aircraft with very high fidelity. That’s giving Aireon and their customers a lot of confidence in the capability and quality of their service to provide better traffic management around the world. Now on a final, but very important note, we have made significant progress with our credit facility lenders that should take the topic of liquidity off the table as we complete the Iridium NEXT mission. Tom is going to go into this in more detail about the transaction. Needless to say, I’m really pleased with this resolution and where it leaves us as we do the home stretch on Iridium NEXT. Momentum is an appropriate word to describe the state of our business today. I’m very excited about the strong progress we made on launching Iridium NEXT this past year and seeing the energy that continues to fuel our business and operational success. 2018 is off to a great start, I feel very good about the underlying strength of our business, the new broadband of services that we’ll soon launch in the satellite industry and are positioning the ability to build new relationships with premier channel partners that can drive incremental subscriber revenue for Iridium. Even with the financial goals we have set this year, I am more confident than ever in our business prospects and my team’s ability to deliver on these commitments as we complete the Iridium NEXT mission. So with that, I’ll turn it over to Tom for a review of our financials. Tom?
Tom Fitzpatrick: Thanks, Matt, and good morning, everyone. With my remarks today, I’d like to start by summarizing Iridium’s key financial metrics for the full year and provide some color on the fourth quarter results. Then I’ll walk through the 2018 financial targets we issued this morning, review our updated long-range guidance and wrap-up with a discussion of our liquidity position and recent activities there. We were pleased to deliver another year of good growth in 2017. Total service revenue grew 4% and operational EBITDA exceeded our full year guidance rising to 265.6 million. This performance was driven by continued momentum in IoT and in I part fuelled by an acceleration of business with heavy equipment OEMs. In the fourth quarter, Iridium reported total revenue of $115.5 million which was up 7% from last year’s comparable period. This growth was attributable to strengthen our commercial business and incremental sales related to U.S. hurricane readiness and post storm activities. I’d like to point out that our net income for the quarter was impacted by two non-recurring items. The first was $150.9 million benefit in the period from the effect of the newly enacted Tax Cuts and Jobs Act. Overall, the net effect over the long term will be positive for Iridium particularly with the lower corporate tax rate. The other was a $22.3 million after tax write off, of payments previously made to our supplemental launch provider Kosmotras. You’ll recall we moved away from this provider when it did not meet its obligations under the Dnepr launch program contract. Today, we have 40 Iridium NEXT satellites in orbit and all the SpaceX launches schedule that we need to get our remaining satellites into space with the Iridium NEXT mission. In the fourth quarter operational EBITDA rose 4% from the prior year’s quarter to $63.7 million while our operational EBITDA margin moderated to 55% or higher SG&A driven by our year-end show up in management incentives. For the full-year, operational EBITDA margin was steady at 59%. The commercial side of our business remained quite strong in the fourth quarter, generating revenue of $69.4 million. This is a 12% increase from the prior year’s quarter and was fueled by momentum in IoT as well as incremental revenue from hosting fees and data services associated with new Iridium NEXT satellites put into service in 2017. Beginning this quarter, we’ll provide a new revenue breakout in our financial statements for hosted payload and other data services, which totaled $4.6 million in the fourth quarter. This added detail allows investors to track hosting fee and data services revenue generated from our contracts with Aireon and Harris as well as non-subscriber base revenue from businesses like our satellite time and location service or STL which became material to Iridium this quarter. Our hosted payload revenues include the area on data service fee and Harris data and hosting duties both of which are currently being paid in cash. We have not yet begun to recognize the area on hosting fee as no payment has yet been made. I’ll discuss our 2018 expectations for this item later. As a reminder, while we recognize approximately 2.3 million in hosting fees and data service revenues for GAAP in 2017, these revenues were excluded in calculating EBITDA since they were less than the approximately 4 million in recurring Iridium NEXT expenses that we incurred during the year, which were similarly excluded from EBITDA. In 2018, we expect recurring service revenue from hosting fees and data will exceed recurring Iridium NEXT expenses and both will be recognized into EBITDA. Commercial subscribers grew 13% year-over-year, much of this growth was a result of 23% increase in commercial IoT subscribers, while commercial voice and data subs rose 2% in 2017. Commercial IoT added 24,000 net subscribers during the fourth quarter, pushing our IoT mix to 59% of billable commercial subscribers, up from 54% in the year ago period. As forecasted, our government service business remained at 22 million in the fourth quarter. Government subscribers grew 19% in 2017, illustrating the continued importance of Iridium service to the U.S. government. Total users ended the year at a record hundred thousand subscribers. The impact of hurricanes Harvey, Irma and Maria fuelled incremental demand for Iridium equipment in the fourth quarter. Revenue from subscriber equipment increased 18% year-over-year to $19.4 million, while equipment margins were 42% compared to 36% a year earlier. This increase was principally associated with the elevated mix of high-margin handsets compared to the year ago period. This mix should normalize with storm activity now behind us. We continue to expect margins in the high 30s to low 40% area depending on mix. Moving to 2018 financial guidance we issued this morning, we can forecast operational EBITDA in a range of 280 million to 290 million and total service revenue growth of approximately 10% to 12% for the new fiscal year. The key elements supporting this 2018 outlook are as follows; first we anticipate approximately 25 million in revenue from hosted payload in 2018, based upon the continued successful deployment of Iridium NEXT satellites. Today, Iridium has approximately half of its new satellites in operation and will add to this total with each launch until we have all 66 operational satellites later this year. Hosted payload revenues include both hosting and data service revenue from Harris Corporation which has largely already been received in cash as well as hosting and data service revenue from Aireon. Aireon will pay the data service fee be currently and the revenue will be recognized monthly as satellites are deployed. Aireon’s hosting fee which is expected to contribute approximately 14 million in 2018 will similarly be recognized prorata as operational Iridium NEXT satellites are placed into service. This is provided that either area on financing closes in the first installment under this financing has been made to Iridium or upon the FAA making a positive decision when utilizing space-based ADSP which we still expect in the second half of 2018. Aireon currently expects their financing to close in the second quarter of 2018. The second area key to our 2018 outlook is that we expect continued strength in IoT and are forecasting double-digit subscriber growth from this business line in 2018. Supporting this outlook, are a number of high profile contracts, one this past year including heavy equipment manufacturer Hitachi, continued demand from Garmin and Caterpillar and ramping installations from partners like Komatsu, Duson and Honeywell that are outfitting their equipment with Iridium to provide reliable, low latency telematics. Third, we expect revenue from our fixed-price contract with U.S. government will remain steady at $88 million in 2018. Our five year contract comes up for renewal this year and U.S. government has the right to unilaterally extend it for an additional six months. Today, we are updating our long-range outlook; specifically we are narrowing our range for 2019 service revenue. We now expect service revenue for the full year 2019 to be approximately 440 million. This revision reflects our latest estimate for the sales ramp of Iridium Certus now that we have greater clarity on product rollout and partnered marketing plans. We expect Iridium Certus revenues will reach $100 million run rate in late 2021 rather than as we exit 2020 as previously forecasted. There are a number of other factors that support this long-range revenue forecast. First, we expect continued growth in commercial services especially from IoT data where subscriber and revenue growth has been accelerating. We believe that many of the new heavy equipment partners we have announced in recent quarters were fully integrated Iridium satellite IoT solution into their manufacturing process and deactivating their services at a higher run rate. Second, we anticipate a renewal of the EMSS contract with the U.S. government that will be favorable to both Iridium and the U.S. government. Ongoing subscriber growth within the U.S. government bodes well for our negotiation and should lead to a new contract that will be a win-win for both parties. Third, we expect to recognize the vast majority of the 47 million in hosted payload revenue in 2019, based upon terms of our contract with business partners Aireon and Harris and upon expected developments at Aireon. We started to recognize revenue from hosted payload last year based on each operational satellite in the Iridium NEXT consolation and expected the full constellation of 66 operational satellites will be fully deployed in 2018. Finally in addition to Iridium Certus, other new products remain important tablets for revenue growth. We are excited about demand for STL; a service that we think will contribute meaningfully to sales as well as commercial push-to-talk. Our commercial push-to-talk offering was effective in recovery efforts following recent hurricanes and the California wildfires. We see a nice pipeline of opportunity around the world for this service. The components of our long-range outlook which we also are reiterating today include expectations for operational EBITDA margin of approximately 60% in 2019, negligible cash taxes to approximately 2020, peak net leverage of between 6 and 6.5 times in the 2018 fiscal year, and finally net leverage of approximately 4.5 times as we exit 2019. Moving to our capital structure and liquidity position, we’ve reached an agreement in principle with our BPI lenders which has been sanctioned by the French treasury that we believe provides Iridium with ample liquidity into 2022 even in the unlikely event that we haven’t received any hosting payments from Aireon. The agreement contemplates that Iridium issue additional debt and for the lenders to delay certain scheduled principal repayments under the BPI facility. The proceeds of any debt issue will be used to repay our Thales deferred payment note and to fully fund the debt service reserve account or DSRA. The agreement would also be very flexible in that it provides Iridium with access to a portion of the DSRA if our projected cash balance falls below an agreed amount. We expect to file an 8-K detailing the arrangement with our BPI lenders once it is complete and expect this to occur no later than the second quarter. I am very pleased with this deal; it’s good for Iridium and fully addresses our liquidity needs for the foreseeable future. Iridium remains optimistic in the expectation for hosting payments from Aireon this year, but feels it best to not rely on them for purposes of our liquidity. Given these pending plans, we can now complete the launch program with no concerns about liquidity. This expected debt rate would not materially impact our net leverage because the proceeds of the offering will pay down existing debt and the remainder will increase our cash balance. As of December 31, 2017 Iridium had cash and marketable securities balance of approximately $298 million. We anticipate total capital spending of approximately $500 million in 2018. This spending predominantly reflects work associated with the completion of the Iridium NEXT mission. In closing, I feel very good about the progress we made this past year. Our company made tremendous strides in building new business relationship, generating strong subscriber growth, and replacing our legacy constellation with new satellites. We believe that the new debt deal that I just described takes any liquidity concerns off the table, and we eagerly await the final launches of Iridium NEXT program and the financial transformation it will bring to our company. With that, I’d like to turn the call over to the operator for Q&A.
Operator: Thank you.[Operator Instructions] And our first question comes from the line of Ric Prentiss with Raymond James.
Ric Prentiss : Good morning guys.
Matt Desch: Morning, Ric.
Ric Prentiss : Hey couple of questions on the financing, obviously you don’t have a lot details, but just wanted to get some kind of framework for it. Can you talk about what type of debt you are looking at and what kind of rates you are seeing in the market places?
Matt Desch: So I can’t describe the debt at all Ric for – just we’re already on the process. The headline here is if you focus on -- I’ve had conversations with you and others about the principal payments required under the BPI facility, that the big deal pushes the near-term payment reduces them, and pushes them out. And so the kind of the headline that we are trying to give you the size it is – no liquidity issues through 2022, okay even without any payments from Aireon. And so that’s how you should think about it.
Ric Prentiss : Okay, maybe just listen to what kind of rates you are seeing in the marketplace not that you would actually tap that, but if you look at the rates that you are seeing, we had a rising interest rate environment, but just kind of wondering what you are seeing out there atleast in the market place.
Matt Desch: Well to do that, I have to tell you the type of debt security we are thinking about and I can’t do that. So I will give you a full disclosure when you file the 8-K.
Ric Prentiss : That’s worth a try. Can you say also that you are still not expecting any equity raises?
Matt Desch: Definitely not.
Ric Prentiss : Okay, definitely not that you are not going to do any equity raises, not that...
Matt Desch: We are not doing any equity raises and the security that we have in mind has no link to equity.
Ric Prentiss : Okay, that helps. And then when you think of the credit facility that’s out there right now, at some point probably like to take it out completely as you move to more of an operational company than a construction company. What are the thoughts of what might be the gating factor to kind of switch and get rid of that facility completely?
Tom Fitzpatrick: So, if you think about what we've done here. We’ve set the table for no liquidity issues till 2022, right. And so that gives us plenty of room as we think about the opportune time to take the BPI facility out. We’ll take -- we plan on taking it out long before 2022, because we want to do equity friendly type things. And there's no reason to have that kind of principal service that that facility contemplates, right. So, what we’ve done is to give ourselves plenty of buffer to be able to absorb disruptions in debt markets for a number of years. So we’ve given ourselves plenty of cushion from when we would expect to take out the BPI facility.
Ric Prentiss : Okay. Make sense. More operationally when you think of the 2019 guidance and tightening the range, moving to the low end of it, it sounds like it was predominately maybe the timing of the Certus rollout and partner plans. But just trying to think through the comfort on the 2019 guidance and if you could kind of allude to maybe what your thoughts are as far as how much the government is in that guidance?
Matt Desch: Yes. So, this is the first point. It really has nothing to do with our excitement about Certus or belief in this market value. It is really more the timing because it’s only starting to more rollout this year and doesn't start generating a lot of steam until 2019. So the timing just seems more appropriate to narrow that down a little bit. We’re feeling g very good about the revenue generating potential for Certus and the market for it and our positioning within that. The government is kind of a small part of it. We’re not expecting – I mean, we haven't finished that deal yet or anything here, but how would you characterize it?
Tom Fitzpatrick: So, what I would characterize it? We expect the government increased to be a stub period, because they will extend until April of 2019. So the 2019 increase will be for only a portion of the year. That’s as much guidance as we can give.
Matt Desch: It’s obviously could happen sooner, but that’s really up to the government, so it's appropriate to really just focus on the most conservative approach which should be an extension.
Ric Prentiss : Sure. That makes sense. And final question is as you think about the margins in the business and once you get pass the construction launching phase, where could the margins go as we look into 2019, but more importantly even beyond that, as far as how can this business run? What kind of level could get to when you look at compared to other guys in the space?
Matt Desch: Yes. We’ve been pretty consistent all along believing the there's no reason why our business can approach the same high margins that mature satellite companies reach. Our cost structure doesn't change dramatically in the coming years with the new services that we’re providing and the revenues continue to grow. And that expands operating margin beyond the 60% and I know others are in the 70% to 80% range and we don't see any reason why we can’t hit those levels as well. There’s a lot of opportunity for revenue growth and I think those are very achievable.
Ric Prentiss : And some news coming lately about SpaceX launching their own LEO platform, obviously they got a couple more launches for you guys. But where you thought competitively and just kind of what the space look likes with OneWeb and maybe SpaceX having their own LEO platforms up there?
Matt Desch: Yes. There seems to be some confusion in the market that or from people I've heard that somehow think that competition is based upon sort of architecture, like LEO is compete with LEOS, and GEO is compete with GEOS, and you know it's really more around spectrum and applications that people provide. So today we compete with the GEO, a major GEO network today and LEO set – excuse me, OneWeb, SpaceX, those are all Ku and Ka-band providers who really are going to compete for those commodity broadband applications that are currently what the today’s Ku and Ka-band GEO operators are involved in. So, those – I look at those as potential partners. The L-band has a very unique place in the industry. It has a lot of advantages particularly a global one like us, for example – an easy example is on aircraft you know where L-band is used primarily for cockpit operational communications for the airlines and Ku, Ka-band is used in the cabin. When any kind of new networks come along I think they're going to compete for the cabin, but they really can't be regulated and provide service in the cockpit. So it really doesn't change the competitive dynamic. SpaceX has a very interesting network. I know that they’re going to take some time to develop it. I think that they're really going to compete against Wireline and Cable operators. They need to if they’re going to generate the kind of revenues they have. So that's not our area. So I see as complementary to the new players coming in LEO in the same where I see this complementary to the existing Ku, Ka-band players and GEO.
Ric Prentiss : That’s really helps. So I think there is a lot of confusion out there?
Matt Desch: Yes.
Ric Prentiss : Thanks.
Matt Desch: Thanks, Ric.
Operator: And our next question comes from the line of Chris Quilty with Quilty Analytics.
Chris Quilty: Thanks. It looks your long-term guidance basically pushes out the Certus run rate by year. And you mentioned previously that it looks like your equipment terminals at least on the maritime side are hitting the market meeting expectations. So is that push out by a year more related to the timing of the satellite launches? And how that's progressed over the past year? Or are you seeing any issues and equipment deployments either maritime or you didn't address the aviation and IoT?
Matt Desch: Yes. So, I don't think it has anything really to do with terminals or partners. I think it has almost everything to do with our latest view of how the market will ramp up based upon the slightly later deployments of Certus than we originally hoped. When we originally provided that guidance, the broader range of guidance, we had expectation that there’ll be 40 to 50 satellites in operation sometime in late last year and that Certus would be ready and developed and tested and that we’d be really ramping throughout all of 2018 for Certus, and 2019 would be a big year. Now with the number of satellites we had in operation only now getting to here in the next month or two and Certus launching here in the second quarter, it’s going to be only a partial year in 2018 of ramp and really more of the ramp is going to be start gathering momentum more 2019. But we’re not – we’re happy with the devices that we’ve seen developed so far by our VAMs. We think they are going to be really well received their high quality devices from very reputable manufacturers. You’ve seen the service providers we selected on land and maritime. We’ve announced those in the last couple of weeks. It’s a great list. It’s only the initial list. There will be more that we’re announcing. I think you’re going to be really pleased when you see the aviation partners who are going to roll us out soon, and that's an impressive list as well. So still a lot of excitement and the devices are coming along fine. It's just more timing. It's appropriate to tighten up the guidance now knowing we’re getting lot closer to 2019 now than we were when we gave that.
Chris Quilty: It’s been a long time since you updated it. Also it looks like this is I think the first time you provided any numbers around maritime both revenues and number of vessels in a number years and I was glad to see you're actually ahead of what I was trying to forecast in the dark. But can you give us a sense of what’s happened in the past year or past couple of years in rate of deployment and perhaps kind of the ARPU trends historically and what you might see going forward?
Matt Desch: In the last year or two, I think it’s been marked by stability really in terms of our OpenPort product. Remember we had some quality issues with that a number of years ago. Those are by far been addressed to the extent that the product is, I hate to use the word bulletproof, but it's very, very reliable and its’ seen that way in the market right now. And we continue to have had strong shipments and kind of consistent net activation each year for the last two or three years. And its – some of those -- number those are standalone applications on what it call the value sort of players that look for – instead of an always on connection really want to pay as they go. A lot of them are being installed as companion vehicles to the VSAT providers to ensure they work where VSAT doesn't work or in regulatory environment like port for they’re not able to be turned on certainly in polar kind of regions and actually getting a lot of service. The ARPUs have been pretty stable in last year probably a slight decline just as prices have improved and as basically service has stabilized to what I think the level that that service can provide. It can only go up to 128 kilobits per second. With the new Certus devices going from 352 to 704 pretty quickly here in 2019, I think we’re going to see ARPUs increased with that product, more applications, more standalone applications and of course it will continue to be a great companion device. So I think the competitive dynamics also have helped us in OpenPort. Partners want to play OpenPort with their VSAT terminals versus other solutions for reasons that I think you understand, and that also has given a lot of market strength.
Chris Quilty: Great. And one final question on Aireon. 2017 look like a pretty good year in terms of sign-ups for MoUs. Do you have a sense of how many of those may convert into actual data service agreements in 2018? And what's the remaining funnel? I mean who besides the FAA of significant has not yet signed up?
Matt Desch: Yes. I can’t remember the percentage of the world that signed up in data service agreements versus MoUs. We used to keep kind of keep track to that even on my board. But look all those -- there's a long list of ANSPs in the world who are evaluating the service and are contemplating signing up, really 100% of the planet eventually is that market and that’s quite substantial. A lot of those have been waiting unit it gets closer to commercial deployment to commence. But I'm really impressed with their pipeline in 2018. There is a really significant group of customers who are in discussions right now towards data service contracts including some very large ANSPs. So we’re expecting as we get close to finalizing the network and they're looking to go commercial here later this year and start turning their service off. You’re going to start to see a lot more data service contracts and some significant ones at that to.
Chris Quilty: And has FlightAware had any success in basically brokering that service to commercial customers yet? Or is it being offered?
Matt Desch: Yes. They are offering the service to airlines, for airline conductivity and information. My conversations – in the last conversation they were happy with how that was extending their service and they had already been that business, but they offered was a good service, but Aireon makes a great service because it really means that they can provide very precise information to airlines. And they were telling me they were very happy with how that was working out. That's – I mean they already have a great relationship with airlines and lots of contracts that this augments and improve, so I'm hearing good things about that.
Chris Quilty: Great. Thank you.
Matt Desch: Thanks, Chris.
Operator: And our next question comes from the line of James Breen with William Blair.
Unidentified Analyst: Hi. This is Eric for Jim. With the 2018 service revenue guidance, I just wonder if you could just give us some of the puts and takes. What’s going into that? How much of that is Certus and hosting? And then secondly, could you just remind us on the timing of the expiration of the DESA government contract? And what gives confidence that there will be a favorable step-up for Iridium there?
Tom Fitzpatrick: Sure. I’m not going to parse that all the elements that make up our guidance, but we did indicated hosted payloads of 25 million. And so of that I indicated that 14 was the Aireon hosting. Harris is at around $3 million and the Aireon data fee is remaining eight to get up to 2025. And just little bit more background on the Aireon data fee which is charged and paid monthly, it’s based on a fee for each of the 66 Iridium NEXT satellites in operation. The fee is impacted by a customer contract milestone which when cleared causes the monthly fee for operating satellite to increased from approximately 16,000 per month to approximately 28,500 per month for operating satellite. So our guidance assumes the lower rate in 2018, thus arriving at the approximately $8 million number and the higher rate for the majority of 2019. So that’s pretty detailed guidance on what we’re thinking as far as hosted payloads. Now you would observe that the IoT business grew 13% -- grew revenues 13%, we don't see that stopping, so that certainly going to be helpful. And we think our – the Talus revenues will be up materially. We see we see stability in our commercial voice and data, our ARPU you saw that in the most recent quarter, which we view that -- we view commercial voice and data ARPU is quite firm. And so that's kind of the analysis going into the guide. I would say that what gives us confidence that we’re going to get a government renewal is our sort of 20-year history with U.S. government. In fact it’s growing our subs at 19%, we think the outcome as I said in my prepared remarks will be a win for us and will be a win for them. And our part of the win is you know our revenues will go up.
Matt Desch: We don’t want to negotiate in public around that and describe our complete argument that we've made it and believe it’s well-received. Given the growth as we said in subscribers in terms of doubling the subscribers, but the cost per subscriber has been declining. There is room there to sort of recover a little bit of that in an unlimited environment which we continue to believe they’ll be. Lot of other positive things have happened recently to as you know we just started shipping the first new secure handset that they've had in quite a number of years, smaller, lighter, better, the Distributed Tactical Communication Services, Global is moving and more tactical radios on different platforms, may just seeing the announcement yesterday of a new platform for all the basically aviation radios that their government uses called the [Indiscernible] their ability to expand that. And then IoT is really expanding broadly in a whole bunch areas, and Blue Force Tracking kind of applications, vehicle tracking, fuel monitoring, all kinds of other applications. So, on all that basis we’re not were not projecting large growth necessarily in this area, but some growth is appropriate and still ends up bringing a lot of value to the government. So, I think this is a positive time and feel pretty good about our position together as we work toward this new deal.
Unidentified Analyst: And then just on the timing of the contract, there’s a current contract expire in the third quarter?
Tom Fitzpatrick: It expires in October, but as I said in my remarks that the government had the option to extend it for six months unilaterally.
Unidentified Analyst: Okay.
Matt Desch: That’s why we kept really the revenues this year and just assumed that they wouldn't sign it. They’ve expressed interest in signing on time and going to a new contract this year and perhaps that will still happen, but the last time we did this, went down to the wire and got extended six months, and so we’re just forecasting that again for simplicity here.
Unidentified Analyst: Great. Thank you very much for that color.
Matt Desch: Okay. Thank you, Eric.
Operator: [Operator Instructions] Our next question comes from the line of Andrew Spinola with Wells Fargo.
Andrew Spinola: Thanks. Matt, I think might've just elaborated on it, but I think I missed it. The recent contract with COMSAT where they're going to sell Certus into the government, I think you had said previously it's possible that Certus won't be a part of the new contract. So is it correct to think about it that you’re going to be likely extending something that looks a lot similar to what you're doing today? And then you're going to have other opportunities to sell into that market with Certus through these partnerships?
Matt Desch: Yes. That’s exactly the way we look at it. It could still turn out differently, but the general feeling between us is that what we've been doing for the last five years obviously has worked very well. And so maintaining that structure for unlimited service for a very specific narrowband applications makes most sense, and then -- and then the government really procured broadband services in a different way anyway and that that really should be an unlimited service. So, it's going to be a more pay for use. COMSAT by the way was the perfect choice. They are the primary vehicle today for providing broadband to the L-band, broadband to the U.S. government. And given when you move in the broadband space applications are more important than they are the narrowband side, expertise and service, for security and all kinds of other applications are really important. So COMSAT is a great vehicle for that and ideal way to kind of move quickly into the government, who by the way is already deploying, is really planning on in 2018 deploying Certus infrastructure at their gateway. So even in advanced of really sort of a formal contract there, they’re getting ready for Certus to be able to utilize it even in 2018, and certainly in 2019 and 2020 as that really comes on board and they can move into it.
Andrew Spinola: Got it. Tom, would the revenue essentially be the same for the six-month extension period, the 22 per quarter?
Tom Fitzpatrick: Yes. That’s right.
Andrew Spinola: Got it. And could you maybe elaborate little bit more on your commentary early on the call about the competitive situation in the voice market right now. What is that you're seeing in the market? What's happening?
Matt Desch: Well, there’s primary, you know there's four competitors in that market. We’ve been by far as the premium and I think highest quality and furthest reaching solution have done better than anyone else over the years, but as you know people have may runs at us in the past with low-cost devices thinking they’d kind of peel away a lot of customers and that hasn't been very successful. The floor though is shrinking, you know, certainly we know one is kind of moved into becoming a spectrum arbitrager and in fact I'm not even sure they have new handsets anymore. They haven't -- it doesn't look like they've invested in a new handset. They've announced nothing nor do the channels know of anything and I don't believe they even have new handsets to sell. Another, as you know a regional operator in the Middle East has not figured out what its future is. And really the partner base and customer base knows that they may be timing out. And so I think their revenues are declining as people are afraid to make major new commitments to them for handset. So, essentially the floor shrunk to two and that that environment is well understood and we don't see anybody else kind of come along there even as we’ve been adding new capabilities. Push-to-Talk is been a new adder in the last couple years and there’s a really pretty broad pipeline around the world for lots of Department of Emergency Services and MOD's and others who like PTT and you see the aviation segment just introduced the product for PTT. Latitude is going to provide for like medevac and other kind of applications in aviation were push to talk makes sense. So all that kind of goes to say that why we're seeing so much stability right now in that space as opposed to a couple years ago where it was a slight decline over time especially the dollar was going up, it was making our products more expensive and we're seeing decline, but we’re not seeing that as much right now.
Andrew Spinola: Got it. Last question from me, Tom, I think it was last quarter and the last two quarters you were talking about doing sort of term loan and sort of a one-time takeout of the credit facility. I know there’s a lot of details to come, but is the right way to understand what happening now is that you're not going to be doing that. You’re going to be raising debt to handle the interest and principal payments. And so any real takeout of this facility is likely not going to incur until 2022 at this point?
Tom Fitzpatrick: We would see the BPI facility coming out before 2022 for sure. What we described over the past couple of quarters was a situation where that the takeout when we’re done our launch campaign was feasible and we’re hearing that from a lot of banks. But I think what we said that, threading the needle that tight when we had in March of 2019, maturity didn't feel write to us, so we’d have to bet that everything went fine with the launches and just as soon as you got done you refinance. And that that was little too close for our comfort. And so I think what we said was that a renegotiation with the BPI lenders to deal with the March of 2019 maturities was what we’re working on and this is the result of that. But we just reiterate that, we would see taken out the BPI facility before 2022 is the likely case.
Matt Desch: Our strategy really hasn’t change. And our belief and really kind of timing even on that. But we weren’t going to take it out completely until we completed the launch program and finish the capital program anyway, so this is sort of an interim stat.
Tom Fitzpatrick: Exactly and the gaining item was the March of 19 maturity that would renew the problem, and we’re delighted with this outcome Andrew we feel it gives us ample cushion and it takes liquidity off the table.
Andrew Spinola: Fair enough. And will we see that 8-K is that coming later today or is that coming in the coming weeks?
Matt Desch: Now when we get it done, we said it’s no later than the second quarter.
Andrew Spinola: Okay, got it. Thank you.
Matt Desch: Thanks, Andrew.
Operator: Thank you. And that was our final question. I’ll now turn the call back over to management for any closing remarks.
Matt Desch: Well thanks everybody for being on the call and noticing that SpaceX launch looks like it’s a success this morning. That was important because they needed to get off the pad, so we could get in that facility, so that means our satellites can start processing tomorrow at Vandenberg and that kind of gives us a lot more clarity on our launch in about five weeks. So, look forward to seeing you shortly after that and to give the second quarter numbers and we’ll see you then, our first quarter numbers, yes. Thanks take care everybody.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This does conclude the program and you may now disconnect. Everyone have a great day.